Operator: Good morning and welcome to the TravelCenter of America First Quarter 2016 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ms. Katie Strohacker, Senior Director of Investor Relations. Please go ahead.
Katie Strohacker: Good morning and thank you for joining us. We’ll begin the call with remarks from Chief Executive Officer, Tom O’Brien, followed by remarks from TA’s Chief Financial Officer, Andy Rebholz before opening up the call for questions from analysts. Today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA’s present beliefs and expectations as of today, May 9, 2016, but forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC’s website, www.sec.gov or by referring to the Investor Relations section of TA’s website at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. The recording and retransmission of today’s conference call is strictly prohibited with the prior written consent of TA. And with that I’ll turn the call over to Tom.
Tom O’Brien: Thank you, Katie. Good morning and thank you for joining our call. The 2016 first-quarter continued to progress largely as we expected and we are now through the worst of the tough quarterly fuel margin comparisons and looking forward to more demonstrable results from our acquisition integration activity. In a quarter that was supply rich and characterized by stretches of rising fuel costs, we reported fuel gross margin of $91.7 million or just under $0.17 a gallon. This was $0.055 per gallon below the prior year period and that translates to $27.5 million decline in fuel gross margin. We made up for about a quarter of that decline with fuel sales volume increase of over 8% on a consolidated basis. Same site diesel fuel gallon sold were down 1.3%, slightly better than the estimated impact of truck fuel efficiency-related factors on diesel volume demand and despite volume declines at sites that have seen the most negative impact from a decline in energy sector activity. Total gasoline volume as a percentage of gallon sold increased to 22% this quarter from 15.6% during the same period last year. We made good progress on integration and ramp up activities associated with most of the 193 convenience stores acquired since the start of last year, 148 of which were added in the second half of 2015 and the first quarter of 2016. Just fewer than 200 employees underwent employee and systems training for our standalone convenience stores. We branded or were in the process of branding gasoline offerings at 17 locations. As of today, we have completed gasoline rebranding or updating at 215 of our 228 stand-alone convenience stores. We also converted 48 stand-alone convenient sites to the Minit Mart brand during this quarter. And as of today, we have approximately 211 standalone convenience stores flagged with our Minit Mart brand. We added 14 quick service restaurants to our convenience stores including seven Godfather's Pizza, two Charleys Philly Steaks, two Burger King, a Dairy Queen, Popeyes and Dunkin' Donuts. Two additional quick service restaurants were added in April and we took over operation of one more from a former tenant. The acquisitions and upgrades we’ve made since our acquisition program began in 2011 has totaled approximately $750 million. For the 12 months ended March 31 these sites generated combined site level contribution of $69.5 million. We believe we are on track to deliver ramped up contributions from these acquired locations that meet the expected purchase multiples we've outlined for you in previous calls. In our travel center segment, our same site non-fuel gross margin increased by $7.2 million or approximately 3.3% during the quarter, 180 faster than we grew our travel center’s non-fuel sales. Our quick service restaurants and store operations continued to drive most of that growth. However, mild temperatures during the 2016 quarter had a negative impact on truck service despite the stronger oil change business this quarter versus the 2015 first quarter. And soft energy sector negatively impacted our operating results of certain of our travel centers which in addition to the volume impacts that I just mentioned saw their aggregate site level contribution excluding fuel margin decline about $1 million from the 2015 first-quarter results. In our standalone convenience store segment which on a same site basis for the 2016 period consists almost exclusively of the 31 Minit Mart locations we acquired in late 2013, we grew same site fuel gross margin per gallon 29% during 2016 first-quarter. While the site gross margin in excess of site level operating expenses contributed from these locations increased 20%. In the 2016 first-quarter and since then, we've maintained our focus on executing other growth opportunities as well including those that leverage our expertise and property size advantages. Also in April, we closed on the acquisition of Quaker Steak & Lube, a strong regional casual restaurant brand. We expect to attempt to grow this brand principally by franchising although we expect also to look at company operated location opportunities. Some standalone restaurants and some addition of this iconic automotive themed brand to travel centers particularly where we think we can attract significantly more local business than we're seeing today. Already since that closing about two weeks ago, we’ve acquired one former franchise location and we expect a new franchise location to open later this week. Our first Fuddruckers opened at our Commerce, Georgia travel center during the first quarter and our second location opened just last week in Ashland, Virginia. Within two weeks of opening, the Commerce Fuddruckers rose to the Top 5 foodservice operations in our network. Last quarter, we mentioned the opening of our newly built travel center in Hillsboro, Texas that include the virtual golf and shooting range intended to appeal to entertainment oriented customers. We are seeing upticks in activity here as our efforts to integrate this location gained momentum. Looking ahead, first with respect to the acquisition market, there hasn't been much change from our perspective since our last call for last quarter, our seller expectations of price particularly in the convenience store space still generally exceed our willingness to pay. We remain cautious in our review of opportunities and currently expect our pace of convenience store acquisitions will moderate from last year. With respect to fuel margins, our 2016 second quarter will still be a tough comp when compared to the second quarter 2015 results but more modestly so. Our preliminary numbers for April 2016 are not inconsistent with our first quarter of 2016 results. I'm looking forward to the balance of 2016, the combination of prospects we have for continued ramp up from integration of our recent acquisitions in the convenience store and restaurant space as well as the internal growth potential and truck service for example make this a very exciting time at TA but we are confident that our efforts will pay off. With that I’ll turn the call over to Andy.
Andy Rebholz: Thank you Tom and good morning everybody. Turning first to our consolidated results, we reported a net loss for the 2016 first-quarter of $9.9 million or $0.26 per share. This compares to net income of $15.7 million or $0.41 per share in the first quarter of 2015. We reported 2016 first-quarter EBITDAR of $75.3 million, a decrease of $30.4 million or 28.8% versus EBITDAR for the 2015 first-quarter. The decrease in EBITDAR over the prior year is due primarily to the fuel gross margin decline of $20.7 million or 18.4%. As a reminder, TA’s business tends to reflect seasonal changes. The first-quarter of each calendar year generally produces our weakest financial results. The second and third quarters generally produce our best financial results. The net income we generated in the 2015 first-quarter was something of an anomaly as a result of the outsized fuel margin per gallon we enjoyed in that quarter. Our fuel gross margin cents per gallon declined $0.055 year over year to $0.17 per gallon in the first quarter of 2016 compared to $0.225 per gallon in the prior-year period. The year over year fuel gross margin decline was attributable to a favorable purchasing environment in the 2015 first-quarter that did not recur in 2016 first-quarter. Both years’ quarters benefited from decline in fuel costs but the 2016 quarter did not provide the same opportunities for advantaged purchasing that we enjoyed in the 2015 quarter. In addition, the 2016 quarter faced some periods of rising fuel costs and the percentage decline in fuel costs during the 2016 quarter was not as significant as was the case in the 2015 first-quarter. Regarding our non-fuel gross margin, within our travel center segment, growth in non-fuel gross margin was driven largely by our parking, casino, QSR and diesel exhaust fluid offerings. Within our convenience store segment, non-fuel margin growth primarily was driven by our new site acquired since the beginning of 2015. These factors lead to an overall $21.2 million or 9.9% increase in our non-fuel gross margin in 2016 first-quarter compared to the prior year quarter. Our site level operating expenses increased by $28.5 million or 13.8% in the quarter. Approximately 75% of this increase in site level operating expenses was due to newly acquired sites for which operating expenses are fully loaded into our results very soon after acquisition. On the other hand, as we’ve mentioned in the past, fuel and non-fuel sales tend to ramp up to our expected levels over time as we complete renovations and stabilize operations. In addition, we incur costs associated with employee training, permits and licenses and certain maintenance improvements in the early months of our ownership new sites further burdening our results. Our selling, general and administrative costs increased by $3.4 million, or 12.1%, compared to the 2015 first quarter, principally as a result of expenses related to staffing increases, primarily associated with the 193 convenient stores we acquired since the beginning of 2015, including in our operations management, accounting and finance, information systems, marketing and human resources departments. Our rent expense increased $7.9 million, or 14.3%, compared to the 2015 first quarter, primarily due to the lease amendments and sale leaseback transactions we completed during June and September 2015, and the increased trend as a result of improvements to sites that we sold HPT since the beginning of 2015 through the 2016 first quarter. As of March 31, 2016, TA leased a total of 194 properties from HPT for total annual minimum rent of $259 million, or $64.8 million per quarter. Although the amounts reflected is rent expense in our income statement differ from the amounts we pay, for a number of reasons that we fully explain in our press release and in our Form 10-Q to be filed later today. Our interest expense for the 2016 first quarter increased by approximately $0.5 million as compared to the 2015 first quarter principally as a result of our October 2015 issuance of $100 million principal amount of 8% unsecured senior notes due in 2030. Now, I will touch upon our results by reportable segment. Looking at our total travel center segment, our site-level gross margin in excess of site-level operating expenses for the 2016 first quarter was $101 million, which represented a decline of $29.2 million from the 2015 first quarter. This decline was attributable almost exclusively to the significant decline in fuel gross margin from 2015 to 2016 of $28.8 million or $0.057 per gallon. In our convenience store segment, our site-level gross margin in excess of site-level operating expenses for the 2016 first quarter was $4.4 million, which represented growth from the 2015 first quarter of $2.7 million that was attributable largely to acquisitions we completed throughout 2015 and into 2016. Looking ahead, we believe it is likely that fuel gross margin per gallon in the second quarter 2016 will be shy of second quarter 2015 amounts. But although we only have preliminary April numbers so far, I’ve seen nothing to make us conclude that second quarter 2016 fuel margin per gallon will be in consistent with first quarter 2016. However, as you know, fuel margins can be sensitive to competitive and market factors and maybe materially better or worse than we now expect. We expect TA’s consolidated non-fuel gross margin as a percentage of non-fuel revenues will be slightly lower than the 2016 first quarter result because standalone convenience stores, which continue to be a more significant part of our non-fuel business, typically generate a gross margin percentage lower than that of truck repair and restaurants. We expect our second quarter selling, general and administrative expense to be somewhat higher than first quarter 2016 largely due to the expected impact from our recent acquisitions, particularly of the Quaker Steak & Lube brand. With respect to our Quaker Steak & Lube acquisition and its effect on our results, the best way to think about it for the second quarter is to assume little net impact, largely due to one-time acquisition and transition costs. Thereafter, you can think about $27 million investment that’s having no less attractive purchase multiple economics that of our convenient stores. We expect our second quarter site-level operating expense year-over-year growth may decelerate modestly compared to site-level operating expense growth in the first quarter because we expect that we will complete fewer acquisitions in the second quarter relative to the first quarter based on the acquisitions completed or agreed upon to-date. Regarding rent expense, our currently quarterly run rate for rent expense is about $64.3 million. This amount includes the impact on rent expense of improvements at lease sites sold to HPT, as well as the sale of one of our completed development properties on March 31, 2016. We plan to sell to and lease back from HPT two additional development travel centers in the second and fourth quarters of 2016 and a fourth travel center in 2017 for a maximum average sale price of approximately $24 million per site, which will increase our annual rent by 8.5% of the proceeds or approximately $2 million per site. Regarding depreciation and amortization expense, we believe that the first quarter amount is a reasonable run rate estimate for an average remaining 2016 quarter, other than for the increases to that estimate that will result from the acquisitions we complete during the remainder of the year. Our current quarterly run rate for interest expense is approximately $7.7 million. And with that, I will turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Ben Bienvenu of Stephens Inc.
Ben Bienvenu: Yes, thanks. Good morning guys. On the non-fuel same-store sales, pretty good results in the quarter despite your comments around mild weather pressuring truck repair business. Could you give me a little bit more color on what’s continuing to drive those same-store sales growth numbers? And then as it relates to the truck repair business, RoadSquad Connect, some of those businesses, what opportunities are left there as you seek to expand your market share in those repair businesses?
Tom O’Brien: In the non-fuel, I think the biggest things in there are takeover of the casinos in Nevada in the middle part of last year that’s impacting the continued growth and diesel exhaust fluid where we are seeing proliferation of those engines that need that fluid in the totality of the marketplace, those are two big items in there. I would like to take a little credit for some of our marketing programs and things like that as well. As far as RoadSquad Connect, and RoadSquad OnSite, those are two things you mentioned and there are other things that go to our attempts to expand our breadth of our services in that space. Those are probably the two best examples of things you can touch and think about as sort of new businesses there. I would say that the best way to think about those is, we are in the first to second inning of what we can do there. We are rolling out RoadSquad OnSite vehicles at about six to eight a month, we’re finding market acceptance for that. It’s not yet big enough to really move the needle, but it is growing very fast. And so I think that’s the best way to think about that. But the opportunities that we see in truck service really come from the sort of new services for us. Some of that opportunity is going to take up some of the slack that we have seen recently in last year or two from competition in the tire market. But we are not giving up that market by any stretch of imagination either. So I think that’s about half of our non-fuel revenue in the truck service – excuse me, in the travel center segment and I think that’s where some of the biggest opportunities lie.
Ben Bienvenu: Thanks so much. That’s helpful color. And then Andy, your comments around expenses for the balance of the year that was helpful detail. I may have missed this, did you quantify what you characterize as one-time or startup type expenses were in the first quarter so we can get a sense of the magnitude?
Andy Rebholz: In the operating expenses, training and other costs were just about $1 million. And of course, we break out the acquisitions costs on the base of the income statement, which was also just about $1 million versus about $0.5 million last year.
Ben Bienvenu: Thanks so much. And then just one last one for me in Quaker Steak, because I am here in Arkansas, I am less familiar with the brand. But I suspect part of the attraction of that is one, there is some brand revenue that’s in that existing geography; and then two, it’s a brand that you could penetrate across your store base nationally as a pretty interesting supplement to your existing brands. Could you talk a little bit about your thoughts there and why you’re attracted to that business beyond price and the bankruptcy opportunity?
Tom O’Brien: Sure, and I hear you in terms of price and opportunity, but let’s not make mistake. That is a bit of a huge part of it. If all of the elements were there, we probably wouldn’t be the owner today. I do believe in the brand and its staying power, its appeal to some very loyal customer base. And I think that the opportunity was really first and so this wasn’t a brand that we thought opt to be added to enhance our travel center business, although we do think there are some tie-ins there. In fact, our travel center under construction in the Carolinas is going to include a Quaker Steak & Lube. So there are those connections. The other connection is the TA restaurant group, including Quaker Steak & Lube, there is about 785 restaurants today. I would say, excluding brands that we own, we operate over 500 brands as a franchisee. I mean, that group is probably in the top 10 multi-unit franchise operators in the country. That means to me that we’ve got a lot of capacity and expertise internally and we ought to do what we can to the take advantage of that. So it wasn't all just one thing. I don't have an illusion that TravelCenters and Quaker Steak & Lube restaurants are overly synergistic, but there are - as far as the brands go, but there are some of those synergies. If we hadn't been frankly lucky enough to almost stumble upon the opportunity and we did enough to recognize it for the opportunity that it is, we wouldn't have closed it. I'm very excited about adding Quaker Steak & Lube to the company.
Ben Bienvenu: Great, that's great to hear. Thanks for taking questions and best of luck.
Tom O’Brien: Thanks, Ben.
Operator: The next question comes from Bryan Maher of FBR & Co. Please go ahead.
Bryan Maher: Good morning, guys. Following up first on Ben’s question, you guys are becoming a pretty big restaurant operator and you also are increasingly big in C-stores, both of which almost everything trades at higher multiple than you guys seem to trade on the EBITDA basis. At what point do you think that the market starts to give you credit for some of the other major businesses that you are in as opposed truck stops historically?
Tom O’Brien: Well, I will start that by saying we are ready, but I think that honestly the things that we've talked about as the two big themes for this quarter and the current period are things that need to happen and the one is the noise associated with, if you will, over-earning a year ago is always going to cause some investors to have some consternation. And I am really, I mean I can't tell you how glad I am that that’s behind us and I apologize for over-earning about a year ago. And I think on a more serious note, what we need to do is execute and that requires a little bit of time, a little bit activity in gathering and closing acquisitions, if you will, to slow down a little bit. And that is happening currently. I think that what's next for us is as I said in the opening, demonstrating the positive impact of integrating these new acquisitions.
Bryan Maher: And then when you talk about acquisitions, you made a comment about pricings coming not where you want it to be and I'm assuming you mean both travel centers and C-stores, how wide is that bid ask spread currently?
Tom O’Brien: Well, sort of dependent who is bidding and if you will, but we have historically targeted in the C-store space as I aid bunch of times before six to eight times and we've seen things well above the higher end of that range. For us what that means is we've got better things to do in terms of activity and time and capital. We maintain that there are folks out there possibly being able to capitalize better on their synergies and we think we can at least in the short-term given our position as operator above 225 C-stores today is certainly our strategic reasons that other people may have to - paying more than we're willing to, but I don’t lose a lot of sleep or think too much about getting beat out on price for particular acquisition opportunity simply because - if someone else wants to pay more then that’s fine. It doesn't really have anything to do with what we ought to be willing to do, nor the right thing that the decline in the proceeds potential for pace of new acquisitions is going to have terribly negative impact on us. We struck when the iron was hot, we struck pretty hard for a company our size and have built a base of opportunity here where if you look back at the EBITDA last 12 months we've reported I think it’s about $111 million and go through the map of all of the acquisitions that we've made and certainly there is a time element there, there is a risk of execution, there is a risk of markets changes and all of that. But if you go through the purchase multiples and things that we're expecting, the missing piece or the upside, if you will, from things that we've already closed is about half again of what we have reported as EBITDA in the last 12 months. And so we don't lack for things to do even if we are unsuccessful in identifying new things to add to the current business.
Bryan Maher: And so that’s a great point and just kind of running through the back of the envelope map on that, if you've spent about $740 million and your rough generation from that's about 69.5, if you are buying these things let's just say and it could be up or down from there, let’s say 5.5 times at the end of the day, that's about $134 million of roughly EBITDA. That means there is probably about $65 million give or take of rent so left than what you have already brought, would you disagree with those roughly?
Tom O’Brien: I do not disagree with those and that is one of the principal investment themes here for us. It’s a lot of work, don’t get me wrong and the number is very large but I'm not frightened of it, other than it will take some time. But that - you're right on the exact right thing.
Bryan Maher: And when you say take time, will we measure that in still another year to two years or would it be further out than that?
Tom O’Brien: I don’t think that will be further out than that, but I think that when you look at the convenience stores that we’ve invested in principally over the last sort of six months ended March 2016, you need about a year to get to that run rate. And so we're, call it, three months in, maybe four and a half months at the end of the period. For travel centers, yeah, that is about three years and I am talking about the acquired travel centers. But by and large we're likely within a year on that as well. So I think it will all start coming together sooner rather than related.
Bryan Maher: Thanks, Tom. I really appreciate it.
Tom O’Brien: Thank you.
Operator: The next question comes from Steve Dyer of Craig-Hallum. Please go ahead.
Steve Dyer: Good morning, guys.
Tom O’Brien: Hi, Steve.
Steve Dyer: Can you remind us again, you touched a little bit on your energy exposure, maybe remind us again your exposure there and is that more along the truck stop side or the C-store or a little bit of both?
Tom O’Brien: Sure. What I am talking about there is the trucking activity that relates to the energy sector and in particular those locations that we have that are sited near for lack of a better term fracking activity, the lot of hauling of steel, and stand and water things like that. That activity was very high let’s say a year ago, maybe even as soon as nine months ago and it's dropped off. That said, if we look at our total number of sites which is in the 470 range or truck stop sites in the 250 range, there is probably about a dozen or 15 and I can point to that I can say we have a very good sense that some of it, if you will, outsized profits of a year ago have declined to a more normalized level, because of a decline in energy activity. And I am talking about sites in Wyoming and North Dakota and Texas although you could make a case for other places as well. I think that the large part of that decline has come in the last six months and we may see something similar in the next couple of quarters. But if you look at our travel center segment, same site volume decline. It’s about 1.3% if I recall the number and really what you have in there is a decline from this energy sector probably a little bit of a decline from fuel efficiency measures which we've been talking about dealing with over the last several years and we will continue to going forward. But the 1.3% decline, really, what that represents is, all of those things being largely offset by the other factors that go into our sale of fuel. So, we've got that, call it, 2% to 3% headwind for diesel demand. We've got probably 4 million gallon decline from the energy sector that we can gather up, those together is about 14 million gallons. We've made up about 10 of that from other things. That's a long-winded answer.
Steve Dyer: That’s helpful.
Tom O’Brien: I know that other companies are talking about energy sector and we’re not immune to it, but to put it in context, it’s a bit of a drag. We weren't able to overcome all of it, but we overcame the substantial part of it. And for those sites that I can sort of touch and identify as clearly having had that impact, don't take it at a context, those sites, volume decline was around 15%, but those are 15 sites out of 450, so that's why I’m sort of struggling. I don't want to make too big a deal out of it. It was a number that you could touch and that you can see, but it's a number that we've got a path to overcome.
Steve Dyer: Great. And then lastly from me, on the nonfuel side, how much of the sequential increase in margin was due to seasonal factors as opposed to internal improvements or maybe help us think about what role internal improvements are playing in this?
Tom O’Brien: Are you talking about nonfuel margin dollars or percent?
Steve Dyer: Percent.
Tom O’Brien: Well, I think that most of it comes from marketing and the reason I say that is because the store gross margin, I’m going to stay store gross margin. That would include the c-store operation -- in the TravelCenters, in the stand-alone c-store operation. Store nonfuel gross margin is, call it, 13% to 15% less than our overall gross margin. So as we add convenience stores, gross margin percentage will tend to decline. So, having added those stores and still turning in the results that we did from a nonfuel gross margin percentage basis, I would say that all of the good there was created by the things that we’ve been doing to market our services across the board, meaning, in all the departments if you will.
Steve Dyer: Got it. Okay, thank you.
Operator: The next question comes from Ben Brownlow of Raymond James. Please go ahead.
Ben Brownlow: Hey, good morning. Just to follow-up on the Quaker Steak & Lube, on the timeline of that integration, you commented that there is a little net impact in the near-term. I'm assuming second quarter, but that the 27 million purchase price multiple would be in line with the convenience stores. So is it fair to assume by third quarter you’re kind of at $1 million quarterly EBITDA contribution with that business?
Tom O’Brien: I would say that you’re right to say that what we are telling you is, the second quarter ought to be no net impact. What I didn't say was, I don't expect a lengthy ramp up period for that, a good portion of the debt acquisition was franchise business. The brand doesn't need fixing, it doesn't need rebranding in a wholesale way. These are up and running businesses that don't need the kind of attention from a capital standpoint, although of course there are always things that need to be done. They certainly don't need anywhere near what we typically put into a truck stop and nowhere near what we put into convenience store, which is less than a truck stop. So I think you’re looking at it the right way. We’ll see fairly full impact after we get the noise of the integration out of the way and I expect that to be largely complete in the second quarter.
Ben Brownlow: Okay, great. And I think you ran down through this in your preliminary comments, but just how many of the -- when you look at the acquisitions that were done and finalized in 2015 on the c-store side, the 170 roughly that were finalized, how many are left that have still not been rebranded of that group and how much, I'm just trying to get a sense of how much disruption is left with that asset class from 2015 and kind of a timeline of finalizing those group of stores?
Tom O’Brien: I would say that the gasoline branding and the Minit Mart branding elements will largely be completed by the end of the second quarter for all of those stores and as of March 31, we owned 225. I don't want to give the impression that that is the last step, in fact, that is sort of the first step. We've got to have the right bread, the right gasoline brand and then we start to build the business and so it's always easier to attract customers if you don't have backhauls and such in your fueling, digging things up. Obviously, I'm kidding, it's not that extensive, but building that business back takes a little time and actually, I'm pretty happy that we are going to be able to, what we are facing here is the summer driving season from here forward.
Ben Brownlow: That's helpful. And I guess just on a proxy for volume demand within those c-stores, they’re down to 3 on same store volume within the c-stores, that was mostly tied to the Kentucky Minit Mart kind of initial 34 site acquisitions two years ago. Is that kind of a proxy for broader trends that you think are -- you’re seeing across even the newly acquired locations and I know it's difficult to judge given all the changes you are doing at those sites, but just how should we think about the proxy in volume demand?
Tom O’Brien: Yeah. I wouldn't say that that is necessarily indicative of what we are seeing in terms of volume demand, although you’re right, it is difficult to really put your hands on that because so few of the 225 were owned sort of this time last year. I think more of what you're seeing here is sort of the tail end of the thing that we talked about in the last call, which was balancing price and volume and I think what you're seeing in the convenience store segment, same site data, is much more indicative of getting that, how should I say, better than we got it in the fourth quarter of 2015.
Ben Brownlow: Okay, great. Thank you.
Operator: The next question comes from Brian Hollenden of Sidoti. Please go ahead.
Brian Hollenden: Good morning guys and thanks for taking my call. Sorry if I missed this, but can you talk about site level operating expenses, are there opportunities to reduce those expenses over time as you integrate acquisitions?
Tom O’Brien: Yes, for sure. I think site level operating expenses were likely pretty close to 52% of nonfuel revenue during the first quarter. Run rate there that ought to be for a full-year, something under 50%, but -- and that doesn't sound like an awful lot, right 51.9 is I think the first quarter, under 50 is not that far from 51.9, but applied to a nonfuel revenue base of, well. Last year, it was about 1.08 billion [ph] that is significant. We are very likely always to see some higher than average operating expense as a percentage of nonfuel revenue in those shorter seasons, the first and the fourth quarter, but that said, 51.9 not to be the norm in -- even in a first quarter period and we can do better than that once we get these things stabilized and ramped up.
Brian Hollenden: Thanks. And if I could just ask one follow-up, assuming a flat gross fuel margin going forward, what is the EPS accretion we can ultimately expect from the 148 c-stores on an annualized basis. If you could just give us some color around that?
Tom O’Brien: Yes. I think that I'll do those things in my head. We could talk offline there, I think I've given you all the numbers to figure that out, and I don't want to misspeak. So let’s do that carefully offline.
Brian Hollenden: Okay. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Tom O’Brien for any closing remarks.
Tom O’Brien: Yes. I just want to thank everybody for participating and for your questions and we’re looking forward to talking to you in about three months. Thanks a lot.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.